Operator: Good morning and welcome to today’s MoneyGram International First Quarter 2012 Earnings Conference Call. Today's conference is being recorded. At this time, all participants have been placed in a listen-only-mode and the floor will be open for questions following the presentation. It is now my pleasure to turn the floor over to your host, Eric Dutcher, Director, Investor Relations. Please go ahead, sir.
Eric Dutcher: Thank you Jennifer. Good morning, everyone. And welcome to our first quarter 2012 earnings call. With me today are Pam Patsley, Chairman and Chief Executive Officer; and Alex Holmes, Executive Vice President and Chief Financial Officer. As a reminder, our first quarter earnings release and accompanying slides are available on our website at www.moneygram.com. Today’s call is being recorded and various remarks we make about future expectations, plans, and prospects constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from expectations, plans, and prospects contemplated in any forward-looking statements as a result of various factors, including those discussed in our filings with the SEC. I encourage everyone on this call to read our SEC filings, including our 10-K for the year ended December 31, 2011. Additionally, today's remarks include certain non-GAAP financial measures, including EBITDA, adjusted EBITDA, and adjusted EBITDA margin and pre-cash flow. Our earnings release includes the full reconciliation of these non-GAAP financial measures to the related GAAP financial measures. Now, I'll turn the call over to Pam.
Pamela Patsley: Thanks Eric. Good morning everyone. We are extremely pleased with our strong start to the year. Once again we generated double-digit growth in all major money transfer categories. Thanks to a steady stream of new high quality agent, solid same store sales improvement and the continued expansion of our self serviced products. We are particularly encouraged by the ongoing improvement in our bill payment business. Our revenue growth and disciplined expense management is yielding margin expansion and we continue to generate strong pre-cash flow. We are focused on value creating initiatives and are excited about the prospects for our future. We generated revenue growth of 8.2% yielding revenue of $318 million (inaudible) with our annual guidance. Excluding the property bridge divestiture, the revenue growth would have been 8.8%. The top line growth was led by our robust money transfer engine, it’s 15% transaction growth with the highest in 3 years. Our improving bill payment and financial paper products business also contributed to our great quarterly outcome. We made improvements on the bottom line as well. Our adjusted EBITDA of 68 million was 13.4% higher than the previous year. Our adjusted EBITDA margin of 21.5% with a 100 basis point increase. We are pleased with our margin improvement and Alex will give you more color on this in a bit. The first quarter was also strong for us in new agent signings and renewals posting 18% growth, more specifically we are very focused on growing our agents in the top global received markets and marketing to their corresponding quarter payers. This year marks the next step in the evolution of the MoneyGram brand as a global brand that matters to consumers and agents. We have begun rolling out our new visual identity and brand positioning which includes a new logo and tagline, bringing you closer. We believe the updated identity conveys a fresh vibrant and energetic new look for our brand. In the second quarter, we’ll launch the full global campaign. I am very excited about this next step for our brand and I am confident our new logo will continue to differentiate us from the competition and position us well for the future. Also, in the quarter we continued our focus on promoting our global brand locally. In March, we introduced Moneygrado sa MoneyGram, our first global marketing campaign specifically designed to reach more than 100 million Filipinos. The campaign features native TV and film celebrity Robin Padilla in Tagalog the official language of the Philipines. Moneygrado roughly translates the money for sure, delivering a message of certainty, security and convenience. The Moneygrado campaign represents MoneyGram’s commitment in getting closer to our customers not only geographically, but through messages that are culturally and emotionally relevant. Finally, alternative channels represented 4.8% of money transfer revenue in the quarter growing an impressive 61% over the prior year. Our focus on MoneyGram Online and self service offerings are creating tremendous growth. Now, let’s look specifically at the money transfer business and that is U.S. to U.S., U.S. outbound and sends originated outside of the U.S. We’ll start with our very strong growth in the U.S. to U.S. business. During the quarter, we generated 15% transaction growth continuing our fourth quarter momentum, stacking up the sixth consecutive quarter with double digit transaction growth in addition to the strong transaction growth revenue growth accelerated to 12%. In the quarter, we’ve signed a multi-year agreement to sell our MoneyGram Express money transfer products to Speedway SuperAmerica, a convenient store chain with a 1375 locations primarily in the Midwest. This contract also renews our longstanding money order relationship. This is a significant add to our expanding U.S. retail distribution network. MoneyGram Express is a self service card that hangs on a “J” hook in predetermined denomination and allows retailers to offer money transfers with a high speed of service. This is another great finding for our self service offering and our MoneyGram Express offering in particular. The U.S. outbound business also had an outstanding quarter, reporting robust transaction growth of 12%. Growth during the quarter was driven by it sends to each of our major receive regions. U.S. to Mexico was a key driver of this growth reporting a 19% increase in transactions. In March, we expanded our agreement with Grupo Elektra to include Mexico. Elektra has been a MoneyGram agent in Latin America for several years and we’re excited to expand this relationship. We now have more than 15,000 agent locations in Mexico. U.S. sends to Asia, Africa, emerging Europe and CIS countries remained very healthy in the first quarter with transactions to India and Philippines contributing to double digit growth in our U.S. outbound business. U.S. sends to Latin America and the Caribbean also delivered growth during the quarter led by higher transaction volume to Honduras and Guatemala. Our continued ramp-up in our business development with large chain accounts and independent retailers combined with our substantial network expansion over the last few years. It is helping MoneyGram connect senders in the U.S. with receivers around the globe. We see tremendous opportunities for growth in our U.S. outbound business. Now, turning to sends transactions originated outside of the U.S. we have the 10th consecutive quarter of double-digit transaction growth, this quarter at 17%. Northern Europe had excellent send growth especially in France and Germany. Again, both Saudi Arabia and Russia respectively the world’s second and third largest send market, continued to grow rapidly in the quarter. Saudi Arabia is now one of our top 10 send countries. Southern Europe is still challenged with general economic malaise and while the Italian money transfer tax has been repealed. Industry wide the Italian market has not yet really recovered from the confusion it created for consumers with the tax. We are adapting to the challenging economy in Southern Europe and are encouraged by all of our success in this important category of sends originated outside the U.S. Now, let’s look at a few specifics in this category. In Western Europe, we produced good results in the UK, France and Germany in fact our growth in France has been terrific. Sends from France to Francophone Africa has driven this growth and has been boosted by our agent expansion in Africa. As mentioned Italy, Spain and Greece have been a bit weaker due to economic challenges in these countries. Eastern Europe, CIS and Russia delivered another great quarter of growth in transactions and revenues. During this quarter, our Russia outbound transaction volume accelerated while receives in Ukraine, Romania and Uzbekistan were particularly strong. A recent receive network editions are driving this growth as we signed new agents in the region such as [ph] Oschadbank in Ukraine. As these signings rollout, we will continue to have growth. Our focus on this key region is very evident and the results have been excellent. In the Middle East, we again delivered impressive growth. This business in the UAE and Saudi Arabia are business that outperformed expectations with strong transaction growth to the Indian Subcontinent and Philippines. Our pipeline of new agents across the region is full and our ever expanding global receive network is helping us to build out specific quarters and increase our agent productivity. In Asia-Pacific, we also had another strong quarter. Sends transactions accelerated from Malaysia, the sixth largest sends country in the world, while sends from Australia remained solid in doubt digit with the strength of our relationship with 7/11. In China, we sponsored (inaudible) conference in the quarter and I can tell you our agents in the country are excited and energetic about their partnership with MoneyGram for the remittance business. India is an ongoing focus with a rollout and ramp-up of new agent location such as India Post and State Bank of India. In the first quarter, we grew to a 1000 India Post locations versus just 100 last November. We will add locations in the second quarter and beyond. In Bangladesh, we have additional agent locations coming on board with the National Bank of Bangladesh and it further plans for network expansion in 2012. To support these important new outlets we increased our marketing to promote agent awareness on the send side and that is in the U.S., Canada, UK and the Middle East. We will continue to highlight new receive agent locations in our marketing efforts with the ICC Cricket World Cup later this year. Growth in Africa remained robust on the strength of sends from Western Europe and the U.S. Received volumes were particularly notable in Kenya, Cameroon and Morocco. Sends from Africa were led by growth in the Ivory Coast, Cameroon and Angola. As I announced last quarter, we re-opened Libya and are seeing very strong demand in the country. Clearly, we are experiencing the benefits of our rapidly growing agent network. Our targeted quarter development and the strength of our brand proposition. I am really pleased to report to you on our bill payment business, for the first time since the second quarter of 2008 we saw our bill payment transactions grow on a year-over-year basis after adjusting for the fourth quarter 2011 property bridge divestiture. On this like-for-like basis, transactions grew 4% and revenue was down 3%. On a recorded basis, bill payments, transaction volume decreased to 5% and see another revenue decrease to 8%. While there has been a moderation in consumer credit market, business development effort over the last 12 to 18 months have also helped slow the decline in the consequence payment category. In the first quarter, we added over 300 billers in the U.S. and Canada to expand the number of bills our consumers can pay through MoneyGram. Our convenience payment growth continues to be driven by focusing products in business development efforts on key verticals such as corrections and phone payments. Transaction volume has increased substantially for us prepaid load network. While these conveniences in low transactions generate lower revenue for transaction, the rapid growth of this business is contributing to the top and bottom line. Additionally, rapid growth of our bill pay customers through this expanded biller networks is translating importantly into new money transfer customers, that is good news for MoneyGram. During this quarter, we continue to focus on self service offerings in our alternative channel business. The top areas for this growth are in MoneyGram Online, ATM or Kiosk based transaction and our cash-to-account transactions. Our MoneyGram Online Service again grew in excess of 30% on both transactions and revenue. During the quarter, we activated MoneyGram Online for sends from the UK. The first of several planned expansions in 2012. Our kiosk and ATM business are growing strong in multiple countries around the world, including the US. Customers can conduct MoneyGram transactions at an ATM or a kiosk. These services are a great source of revenue for our agents while reducing customer service time at the agent location. With our great year-over-year growth in the number of transactions conducted in the first quarter at the self-service locations. Cash to account is also a growing self-service extension. Through agreements with financial institutions around the world, MoneyGram clients are able to transfer money directly to accounts in many countries and we’ll continue to expand this service in 2012. During the quarter we announced several new alternative channel signings. MoneyGram money transfer capability has been added to Fifth Third Popmoney service creating opportunities for MoneyGram to reach consumers in a new way. We also signed an agreement with ZipZap, a network enabling online purchases and top-ups for mobile or prepaid cards. Now consumers can conduct a ZipZap transaction through 35,000 US MoneyGram agent locations. On the operations front, we continue to make great strides in our efforts to develop an industry leading global compliance and fraud organization. We have been investing in both systems and people which are generating strong results. We have also been proactive in raising consumer awareness of schemes used by fraudsters. We have had good recognition from both law enforcement and the media on these efforts and importantly, we have seen positive trends in reducing consumer fraud. Regarding legacy issues, with respect to the US NDPA investigation, we continue to cooperate fully. In that spirit of cooperation in March we have signed a tolling agreement extending the statute of limitation to the end of this year. Many of you have asked what’s the timing? And I sure wish I had a precise answer for you. But what I can say is that the investigation is ongoing and we are making every effort to resolve this matter as soon as possible. I will now turn it over to Alex who will walk you through the financials. Alex.
Alexander Holmes: Thanks, Pam. We certainly produced great financial results in the quarter, so let’s take a look. Total revenue increased 8% to $318 million and total fee and other revenue increased 9% to $315 million, driven by the strength of our core money transfer business. For the quarter, investment revenue was $3.2 million on an average investable balance of $3.1 billion versus investment revenue of $4 million with an average investable balance of $3.4 billion in the prior year first quarter. Our investable balances have stabilized a bit over the past few months and we are still using modest revenue in this low interest rate environment. Total operating expense increased 7.6% during the quarter, primarily related to increased commissions expense. Total commissions expense was $142 million, or 44.6% of revenue, compared to 43.9% in the prior year. At the consolidated level, commission as a percentage of revenue will continue to increase as money transfer becomes a greater portion of our overall business. Money transfer commissions as a percent of revenue were up slightly primarily related to a contractual increase in commissions for one of our large agent. Excluding commissions, operating expenses increased 5.3%. Compensation and benefits as well as occupancy, equipment and supplies were roughly flat year-over-year while transactions and operations of course increased $7.8 million. This increase was driven by higher restructuring cost, certain legal expenses, and increased investments in compliance and regulatory oversight as compared to last year. Marketing expense as a percentage of total revenue was up slightly at 3.8%. For the full year, we still anticipate total marketing expense as a percent of total revenue to be in the range of 4.5% to 5%. Historically, the second quarter has had higher marketing expense for Mother’s Day and Easter campaigns, and additionally, this year marketing expense will be higher due our global rebranding efforts and our Moneygrado campaign, while the third quarter will be higher as it relates to the ICC cricket. Reported EBITDA for the quarter was $55 million, an increase of 7% as higher legal cost and restructuring muted reported EBITDA growth. On an adjusted basis, EBITDA was $68.4 million, a 13% increase over $60.3 million in the prior year. Strong top line growth and expense management has led to margin expansion over the prior year. Adjusted EBITDA margin in the quarter was 21.5%, up 100 basis points from the same period last year. We are clearly pleased with our first quarter margin expansion. However, margins will fluctuate throughout the year due to the timing of marketing expenses in other investment initiatives. Depreciation and amortization in the quarter was favourable about $1 million compared to the prior year period. For the quarter, reported operating margin improved 50 basis points to 11.3%. Both income taxes were $7.8 million, a rate of 43%, due to higher than anticipated state and foreign taxes. Cash taxes were about $100,000. Looking ahead, we now expect our book tax rate to be slightly higher than planned for the remaining three quarters between 40% and 43% with cash taxes still remaining close to zero. As you are aware, we are reviewing our long term tax strategy options. That said, we need to be mindful that many tax strategies can leave cash in offshore markets. As our immediate focus for uses of cash is to delever and then beyond that return cash to shareholders, we prefer to keep a majority of our cash available for these users but we are taking a close look and recognize our tax rate is extremely high. Diluted income for common share was $0.14 on diluted shares of 71.7 million. This included a negative impact of $0.05 from restructuring and reorganization cost, as well as the negative impact of $0.03 from certain legal expenses. Our higher tax rate also reduced diluted income per share by approximately $0.01. As you know, on a year-over-year basis, diluted income for common share is not really comparable as the prior year quarter does not reflect the main recapitalization when we converted our preferred stock to common. On the secondary operating road show we provided free cash flow information which we define as adjusted EBITDA, less cash interest, cash taxes, purchase of property and equipment, and signing bonus payments. In the quarter, free cash flow was $28.2 million, or 8.9% of revenue. Last year’s free cash flow was $25.4 million, or 8.6% of revenue. Capital expenditures in the quarter were $18.6 million. CapEx was higher due to a timing difference of approximately $6 million between the fourth quarter of last year and the first quarter of this year. Without that timing difference, CapEx would have been about $12 million much more in line with our historical spend. Signing bonus payments in the quarter were about $5 million. In the press release we now provide table 7 which shows the walk from adjusted EBITDA to free cash flow for current and prior periods. We continue to focus on free cash flow generation to pay down debt and reinvest in the business. For the remainder of the year we will be keeping a sharp eye towards the right timing of refinancing the remaining $325 million of our 13.25% Goldman Sachs second lien notes. In speaking of debt, we are certainly beginning to see the positive results of all of our de-levering efforts with interest expense favourable by $2.6 million on a sequential quarter basis. In March, we announced a step down on our first lien interest rate to LIBOR plus 300 basis points, a 25 basis point reduction, as a result of lower outstanding debt principle and increased EBITDA. We ended the first quarter with assets in excess of payment service obligations of $224 million, up from $212 million in the fourth quarter of last year. Turning now to segments. Total revenue for the Global Funds Transfer segment increased 10% led by strong money transfer constant currency revenue growth of 13%, partially offset by lower revenue from our bill payment business. The segment reported operating income of $33.3 million and an operating margin of 11.2% in the first quarter of 2012, up from 9.8% in the first quarter of last year. On an adjusted basis, operating margin increased 15.1% in the quarter, up from 12.2% in the prior year. We are pleased with the leverage we are driving and we will continue to balance margin expansion with investments in our business for future growth. Finally, turning to the Financial Paper Products segment. Total revenue during the quarter declined 9% to $21.7 million with operating income of $9 million. Reported operating margin was 41.5% and 47.4% on an adjusted basis. Segment margin was better than expected due to a lower rate of decline in our investable balances, as well as cost reduction efforts within the business. Financial Paper Products’ revenue represented 6.8% of total revenue in the quarter compared to 8.1% last year. And now I will turn it back to Pam.
Pamela Patsley: Thanks, Alex. We are optimistic about 2012 and as you saw in our press release we are affirming our previous guidance. We have great momentum in our money transfer business and our efforts in bill pay are yielding excellent results. We continue to focus, as Alex said, on generating free cash flow to de-lever the business and fuel our growth. I can tell you that MoneyGram team is energized, competitive, and positioned to win. I look forward to sharing our progress with you throughout the year. Thanks as always for your time and your interest today. Operator, please open the line for questions.
Operator: Thank you. (Operator Instructions) We will take our first question from Jim Kissane with Credit Suisse.
Jim Kissane - Credit Suisse: Hi, Pam and Alex, congratulations on the strong results. Pam, could you comment on the sustainability of the high teams [ph] transaction growth in the US to Mexico quarter, because our sense is your major competitor down there has been in constraint to some extent by regulators? So, to the extent that over time you are on some of the same standards, will that cause growth to even out a little bit? Thanks.
Pamela Patsley: Sure. First of all thanks for noticing the good quarter and commenting. Our goal is to continue to beat market growth on US to Mexico. So I think we are organized well to always beat market growth and gain share on US to Mexico. As you have heard me say, we are focused a lot on improving our network. There is not perhaps as big a delta or gap in terms of process and what we do from a compliance perspective is perhaps your question implies. So things around limits and IDing [ph] and some cases we have been historically and remains so today at or lower in some of the competition and some of these hurdles.
Jim Kissane - Credit Suisse: So, you do believe –
Pamela Patsley: So for us it’s just keep doing, keep our focus on running our business the best way possible to continue to outgrow the market. And we are really encouraged by last quarter, I think it was we talked to you about Se Banco and adding that quality agent with also a focus on (inaudible) so it’s just really continuing to focus on both the received and the send side aligning the quarter and having a quality product and a quality service at both ends of it.
Jim Kissane - Credit Suisse: Sounds great. Alex, can you give us a sense of what portion of your bill payment business is from convenience payments? I know what portion is from the prepaid cards, given that they are growing at such strong rates?
Alexander Holmes: Yes, I think the – we kind of put a slide together, we don’t break it out per se. I think if you look at it, certainly from a revenue perspective what we call it a historical consequence payments are still probably a little bit north of 50% that’s on a transaction basis we might be hitting that inflection point. One of the things we have seen is it’s not only the load and the convenience payments increasing in growth rates, we have also seen the autos seg there in particular stabilize a bit, which is certainly helped stabilizing that revenue. We have also added some other avenue that’s at higher RPT, we kind of talked about (inaudible) as an example last quarter and that certainly helping to stabilize that business. So I would say we are closing in on kind of an inflection point where convenience and load will begin to be the majority of the transactions. 
Jim Kissane - Credit Suisse: It seems like a pretty close that business returning to growth on a consolidated basis, is that fair?
Alexander Holmes: Yes, I think that’s right. I wish I could tell you the exact quarter when we’ll see that, that’s going to be a market timing issue, but certainly the transactions are growing positively now, which is great. 
Jim Kissane - Credit Suisse: And my last question, Alex, you talked about an uptick in commissions due to I guess in renewal, can you give us a sense of the outlook for commissions possibly taking into account expect the renewals this year? Thanks.
Alexander Holmes: Yes, I think commissions have been broadly flat. I think they tend to trend up over the last couple of years, they have trended up in the first quarter because of this contractual commission increase and this is actually on a long standing contract, it’s not on the renewal. Then over the next couple of quarters we see that percentage trend down a bit. So, I think globally what were are seeing is probably flat commissions rate, but over the course of the mix of the business I think we are seeing more transactions, the newer transactions begin to come through at some slightly lower commission rates, but it has been stable and I guess based on this contractual increase we have given it is definitely positive trends.
Jim Kissane - Credit Suisse: And taking into account possibly future renewals, do you believe it can stay flattish?
Alexander Holmes: Yes, future renewals, yeah I think we feel good about our position right now, never say never, but I think for the most part we are getting that, a good mix of new business coming on board at good commission rates and notwithstanding one or two here or there, I think we are going to be in a good position.
Jim Kissane - Credit Suisse: Great, thank you.
Operator: We will go next to Glenn Fodor with MSSB.
Glenn Fodor – MSSB: Good morning. Very good to see the strong financial trends there. You have been very tactical in your approach to Mexico and obviously it has paid off very well for you. I was wondering if there is any other quarters where you are looking to take those learning’s and hopefully see the same experience? You alluded to it in the prepared remarks, but I was wondering if you can get more granular here, is there any other quarters you want to call out that are – you have been very active in the same type of strategy? And, part B, when you execute this type of strategy does it entail a lot of investment?
Pamela Patsley: Yeah, to the latter part, it really hasn’t entailed a lot of investment, it has been about focus and aligning our teams on the send and receive side and often it includes elements of training or other things, so not huge cost Glenn to go out and do this. I would say, I think you all heard me say, I hate the question, what’s your favourite quarter, or where are you focused most or whatever? You would have to look at just build the strength of US outbound and of our three kinds of categories we report I still feel there is just tremendous upside from the numbers we are reporting to what we could be doing. So then you look to the big received markets and that would be a place that you could consider, obviously Mexico is one, but you look at Philippines, India, China and a few places in Africa. And then you look to the other large send markets, so I would say we are clearly deploying much the same with our Middle East team and our Southeast Asia team doing the same, and in fact, they are all together at a conference today in India and working on those sorts of initiatives. Russia, do the CIS, so I could keep going and be a nice geography lesson and but I think you get the point.
Glenn Fodor – MSSB: Okay, that is great. Thank you.
Pamela Patsley: Yes, thanks Glenn.
Glenn Fodor – MSSB: In some regions you are making some headways into winning some previously exclusive contracts that are opening up and being non-exclusive. So we saw that with Electra this quarter that was very nice to see. Any other quarters where this is occurring in a notable fashion and when this does happen, how do you see your numbers or your metrics change as far as lifting either volumes or yields or market share and does that happen quickly or does it take 12 to 18 months to ramp?
Pamela Patsley: Yeah, actually, again I will go the latter part first, we are seeing -- because these are agents that are what we call sellers, they are in the business already even though many of these, it is mostly on the received market, so call it they are already receivers, so there is less ramp time, so that is very much a positive. So, we are really seeing it manifest in accelerated growth and convenient for our customers, which is very much a focus for us. Actually, I would say this notion of breaking exclusivity has generally often in the received markets and Africa was probably the first place where we saw that. So Mexico, India would be two other places. 
Glenn Fodor – MSSB: That’s great. Thanks and I appreciate it.
Pamela Patsley: Yeah.
Operator: We will go next to Julio Quinteros with Goldman Sachs.
Julio Quinteros - Goldman Sachs: Hi guys, good morning. 
Alexander Holmes: Good morning. 
Pamela Patsley: Good morning.
Julio Quinteros - Goldman Sachs: So one quick question, I know we had tried to email about this earlier, just on, just any exposure to Walmart and the situation down in Mexico, if you guys could address that, that would be great?
Pamela Patsley: Sure. We have had a relationship with Wal-Mac, actually a little longer than we had a relationship with Walmart US, it is a strong relationship we are in all of their stores and it is a very positive relationship. We have seen no change in our Walmart customers, our Walmart business, call it “Pre or Post” an article in the New York Times this past weekend. So, we work very closely with them and as they open new stores, we go into those new stores, their trend has mostly been opening stores towards the latter half of the year. 
Julio Quinteros - Goldman Sachs: Got it, great. And then maybe just sticking with Walmart and I guess for now, as you think about Walmart online, what are your (inaudible) in terms of going from the domestic side to the international side as you guys continue push your online product? What do you think would be opportunities for you guys to get to the international side from here through Walmart? 
Pamela Patsley: Yeah, I think we have had such great results with the link between walmart.com and moneygram.com that is something that looks to me to be an obvious next step.
Julio Quinteros - Goldman Sachs: Okay. And then just lastly in terms agent expansion plans through the rest of year, any sense on the number of agents you guys are planning for the rest of the year or target geographies where you would expect to see the growth in the agent base?
Pamela Patsley: As we have said, the predicting kind of the percentage growth, it is going to have more fluctuation just because some agents -- you are loading a lot more in any one period than the other, but certainly it is still all about double-digit growth including in agent locations and we have well exceeded that bar. And that’s kind of our goal forward internally, though on a quarterly basis that will have more fluctuations.
Julio Quinteros - Goldman Sachs: Okay. And then just lastly, it is the housekeeping kind of question on the litigation or restructuring expenses, what are the levels that you guys expect for the rest of the year or we kind of – or is this actually done at that this point?
Pamela Patsley: I will let Alex take you through the restructuring side. From a litigation perspective, the sooner we have fewer, significantly fewer or no legal expenses relating to these matters, the better for me. But we are going to spend what we need to spend to do the best thing for MoneyGram.
Alexander Holmes: Hi, and then on the restructuring question, what’s important about it is that we continue to focus on the savings and right now we are looking at the savings being towards the higher end of the $30 million range, which is great to see. From a cost perspective, we are digging deep on that now, that was something that Pam asked me to get involved in about a month ago, when I jumped into the new seat here. And we are digging in to it. I think we spend about $7 million in the first quarter, when you include CapEx and sort of non-cash charges, we have got a few more quarters of that to go, I think it would probably be about the same rate for the next two or three quarters, maybe a little on the fourth as well. So I still think we probably have at least another 15 million or so of cash been coming, not withstanding any sort of changes we might make to the program when we finish our review here. But I think -- broadly we are doing some great things and the savings is coming through, we have already realized about 20 million of run rate savings that continue to be beneficial on our margin and we anticipate some more things to come later this year when we finish some of our outsourcing and retail consolidation in Europe and outsourcing of call centers.
Julio Quinteros - Goldman Sachs: Thanks guys, good luck. 
Alexander Holmes: Thank you.
Operator: We will go next to Robert Napoli with William Blair.
Robert Napoli - William Blair: Thank you and nice job on the quarter. 
Alexander Holmes: Thanks Robert.
Robert Napoli - William Blair: You guys had a slight acceleration in growth in your money transfer transactions this quarter and your biggest competitor also had a similar acceleration, although at a much lower level, obviously you guys are taking some share. What is driving? I mean, are you feeling, looking at your business better about the global economy and do you expect to be able to maintain these types of growth rates through 2012 and into ’13?
Pamela Patsley: We hope we are organized such, I think we have the team to continue the momentum we’ve had and our goal is to always outgrow the market and take share. Our focus is a little bit less on what’s the economy doing maybe that comes in Bob a little bit more as we think about allocating resources and what our market share gains are around the world. When you are the second largest global player and you have 5% market share or a little more, we can still continue to grow very aggressively and take share. I think for us it is focus, I mean we use that word around here a lot, whether it is a focus on a specific initiative, a product roll out, a compliance enhancement, a quarter development, it is a small but mighty and focus through.
Robert Napoli - William Blair: I mean, do you feel like the economy -- I mean obviously all those execution is working, but you would feel like you got a little extra push from the economy on the acceleration or do you think it was just that there was more execution driven and do you think you are seeing – do you feel somewhat better about the economy or you don’t feel like you can tell by looking at your business?
Pamela Patsley: Well, it is mixed bag. We certainly feel better about the economy in many places. The US, I think we are seeing some signs of improvement, a little bit more positive news in some of the construction initiatives and things like that. But then you go to Southern Europe and there is not a lot to feel positive from a general economic perspective. So, you are in 193 or 194 countries that we are in now around the world, that’s going to be a bit of a mixed bag. First of all, we always will take the help and the backdrop of a strong economy to execute our strategy again. So we don’t want to be so arrogant to think it is all just us, so --.
Robert Napoli - William Blair: The Financial Products sector, very high margins, 41.5% and the rate of growth has slowed and don’t worry Mr. Greenspan is going to raise rates in 2014, he said so again yesterday. 
Alexander Holmes: Yes.
Robert Napoli - William Blair: But, is that, I mean, that is a huge margin, is there some any seasonality as we look at last year, they had a very strong first quarter then tailed off. Are we getting to the point now where you are near the bottom and you are going to be able to maintain operating income and margins at those very strong levels?
Alexander Holmes: Yes. I guess just a joke with you, Bob, we wish Greenspan would come back because they are actually not helping us here, but --
Robert Napoli - William Blair: Oh, yeah.
Alexander Holmes: If you take the money order business just aside for a sake, in the non-interest rate environment, I think we are seeing a little bit of improvement in money orders at least from a stabilization on the number of items in the market and so, that is pretty good to see. And official checks have stabilized a bit as well although not as quite as much as is on the money order front. Certainly from a balances perspective the decline in our balances has slowed pretty well, which again comes back to the number of items in the market plus some timing. One theory could be that we are getting some people push back and out of the banking market back in who need money orders on the official check side. We have gotten out of the big banks, we are into a lot of community local areas and those guys need that outsourced service and as long as people are requiring those checks and then we are going to be in a business for a while. So, I think we are seeing a little bit of economic impact on that business and then we are also seeing a little bit of what is going on in the banking, the banking sector. Unfortunately we are not getting any yield on that portfolio, but that is sort of a reflection of the environment we are in, but I think at the end of the day what we’ve done, is we’ve looked pretty heavily at the cost of that business. We’ve talked before in the past about the integration of the back office functions, how we service and operate that business, the consolidation of some of that sales force, unifying kind of financial institutions group behind, selling official cheques, while they are also talking to banks about other opportunities within our business. And so, we are getting some efficiencies from that. The business at this point from an operating income perspective is so small that, a few $100,000 here and there is going to move that margin pretty substantially. So I can’t say it’s going stay at 47, or go to 50 or drop back to 35, but I’ll say it’s going to continue to be a nice margin, going forward and when and if interest rates ever go back up, we will get back until a little bit more of a commission schedule on that business and then we’ll see some of that margin compress a little bit, but in the meantime, it’s certainly creating a nice tiny small albeit good return for us. 
Robert Napoli - William Blair: Yeah, a significant portion of your operating income. The last question, the self-service and new channel revenue of 4.7%, how much of that is like, would you call would be internet, would be moneygram.com, and how much of that is self-service channels and what’s the growth rate of each? 
Pamela Patsley: The vast majority of it would be the MoneyGram online, and we gave the growth rate there, which is over 30% and then you see the total at 61.
Robert Napoli - William Blair: And the self-service is ATM and kiosks?
Pamela Patsley: Yep, and our cash to account. 
Alexander Holmes: Yeah and then our other ancillary card services that we have in the market. 
Robert Napoli - William Blair: And what is the growth rate on prepaid? Did it flow down or accelerate this quarter?
Alexander Holmes: Prepaid in what sense, Bob?
Robert Napoli - William Blair: Just to your transactions, your prepaid transactions. 
Alexander Holmes: From a load perspective?
Robert Napoli - William Blair: Right, yes.
Alexander Holmes: From a load perspective it’s really good, we don’t really talk about our prepaid portfolio, in that sense, I mean, it’s so small, we don’t realize even. 
Robert Napoli - William Blair: Yeah, just curious.
Alexander Holmes: Yeah, from a load perspective it was very solid growth, high growth. Honestly don’t know sequentially if it was up or down, but it was good return for us.
Robert Napoli - William Blair: Thank you 
Alexander Holmes: Welcome. 
Operator: We’ll go next to Sara Gubins with Bank of America Merrill Lynch. 
Sara Gubins - Bank of America Merrill Lynch: Hi, good morning and thank you. I am hoping to get an update on the pricing environment. I know it various a lot by quarter, but overall it looks like the delta between transaction volume and constant currency revenues have been pretty stable at about 200 basis points for the last two quarters, and I am wondering if we should assume a pretty similar spread throughout the year? 
Alexander Holmes : Yeah, I certainly hope so. I think if you look at where we ended this quarter it’s actually a little bit under 2% in total. Mix was about 1% and then you have pricing plus and it will still include while we still track at least a little bit of 5 for 50, just because – you could call it mix, but if you want to call that pricing we sort of separated its own column, 5 for 50. You know that hit us for about -- the blend of those two pricing in 5 for 50 was around 0.5% or so. So mix was majority but it was a little bit south of 2%, I think that’s been fairly consistent for the past quarter or so, a couple of quarters. And so, I think going forward at this point we anticipated being kind of in that range not withstanding some swings and mix, but from a pricing perspective I think we feel good about where that is right now.  
Sara Gubins - Bank of America Merrill Lynch: Okay and then sort of a correlate to that. There’s been discussion about Russia in seeing low pricing pressure there due to local competition. In your prepared remarks, you send in pretty upbeat about trends in Russia and so I am just wondering if you’re seeing that pricing competition, maybe more of what you’re seeing in the market?
Pam Patsley: We are upbeat about our Russia business. We think we have a good proposition, where we’re working with our agents. We were small, we’re growing, we’re growing very very fast there, but it is a price competitive market. 
Alexander Holmes : Yes, and I think you know the opening of what they define in Russia as retail, which means the ability to do money transfer from outside of the banking environment, or the bank license environment, it’s certainly creating some competition in that space. But to pinpoint we haven’t seen that yet, in fact our business getting into that market is certainly something that we’d like to do and are looking towards as we move to the rest of the year. But I think, given where we’ve been and where we’ve gone to in Russia, I think the opportunity is bigger than where we’re today, and certainly the growth underlying that is supporting that initiative from our side. 
Sara Gubins - Bank of America Merrill Lynch: Great, thank you. And then just last quick question. There’s been some recent research about a shift in direction in terms of US to Mexico migration and that we’re actually seeing now more outflows of Mexicans from the US to Mexico than the other way around. Is that something that you’re doing much short to understand, is it an area of concern for you, what do you think about both the US to Mexico business and also US to US business?
Pamela Patsley: Yes. We look at all of that very closely. I think much of that though is some historic data and actually when you look at the time frame that that was measured again, and then you lay our growth out, I’d say it looks very very strong for what MoneyGram is doing. So I would say some of that historic data has already that’s happened and against that we’ve been able to grow very significantly. 
Sara Gubins - Bank of America Merrill Lynch: Great, that’s actually helpful. Thank you. 
Pamela Patsley: Thanks
Alexander Holmes : Thanks, Sara.
Operator: We’ll go next to Tim Willi with Wells Fargo.
Tim Willi – Wells Fargo : Thanks, good morning. I had two questions a bit related, but I’ll try asking separately. First is, in terms of brand in the marketing, you’re talking about, any sort of context you can give us around when do you start to see for that kind of marketing and brand, begins to have an impact on growth rates, of volumes, whether suspend some of your recent efforts over the last couple of years, or how you are thinking about just with the history of money transfer? Is it something we should see happen commensurate with marketing or is it something that you think will probably sort of build, over a couple of quarters after you sort of initiate these branding campaigns and drive more awareness?
Pamela Patsley : Yeah, our marketing initiatives are so diverse and so if we take those something really big, like our sponsorship of ICC cricket or the roll out of our Moneygrado campaigns for Filipinos. We get so much excitement also from our agents, with these brand campaigns and they play a big role in continuing to get more consumers. Our programs are built to drive sustainable growth but you generally see results early, but they built. 
Tim Willi – Wells Fargo : Okay. And the second question is around the agent growth, just thinking about you have obviously built networks and agent growth has been quite strong. A lot of markets where probably you didn’t have critical mass until recently. I guess I am also curious about, if you look at like key send markets where you really trying to make the consumer aware of the convenience of the locations and the reputation of the brand, etc, and sort of an inflection or a hockey stick approach to really starting to see the market share shift your way and the people walking to the agent locations. Do you feel like actually past that with some of these larger regions and countries where you have been deploying agents, or do you think that actually we’re still likely to see acceleration and some of these key markets because there is still a lot of work and a lot of our agents yet to be signed to really drive that mindshare with the consumer versus maybe the larger guys like Western Union who have had some markets to themselves for many many years and have that in great mindshare with consumers. 
Pamela Patsley: Yeah, well, it’s certainly about continuing to improve MoneyGram brand presence in top of mind or unaided brand awareness to our likely consumers. So that is behind to all that we do. There are very few markets, I guess that you asked just from a legacy perspective, we’ve been here the longest, huge focus, but then you know we did the Speedway Super America with continuing to roll out another way for consumers to send money. And the business, the industry continues to grow. So we are not at end of job anywhere, when I look at France and Germany and even the U.K or other parts of Europe, we are working aggressively to continue to build out our network in these important countries. Saudi Arabia, I mean I could go on and on and at the same time, the receive market, so it’s about brand awareness, it’s about consumer convenience, and I think there is a lot of runway just because we do have a young network even that we have already signed. 
Tim Willi – Wells Fargo : So is it fair to say then maybe markets like the US, I want to say diminishing returns, but rate of return versus growth of agent network maybe moderating, given them maturity, etc, we just described, but if you think about France, Germany, UK, Middle East, do you think that rate of return actually still can accelerate as you continue to sign up agent networks? 
Pamela Patsley : Well, okay. So first rate of growth of agent presence in the US will not be some of the highest on a percentage basis, that type of math is going to work out. Rate of return we can still generate very good return on new agent growth in the US. There is tremendous leverage in the business and as we continue to build up the received network, the catch more of the transactions from the US. Again, US outbound was 12%, that’s great, that’s double digit, before when you look at our market share on that US outbound, we have a lot of room to grow. So I don’t think it’s a diminishing rate of return. 
Tim Willi – Wells Fargo : Okay, that’s perfect. That’s what I was looking for, thank you. 
Pamela Patsley : Thanks Tim. 
Operator: We’ll go next to Tien-Tsin Huang with J.P.Morgan
Tien-Tsin Huang – J.P. Morgan: Hey good morning, great results here. I guess just want to clarify on the Europe front, I know you mentioned France and Germany was strong, but what about the U.K and some of the other classical send countries, how did they perform?  
Pamela Patsley : The UK did very well. We kind of group UK and Ireland together as we look at those numbers, they did very well. And we see even within, Spain, as you know, Tien-Tsin, that’s been a big part of our business, great brand presence, great consumer awareness there. There are certain pockets that quarters that performed very well, so we’re encouraged by that. I just kind of want to say that overall blanket of -- I’d like to call it call it economic (inaudible) there, it’s not a positive contributor to our growth, but I think the team is doing a fabulous job finding the right quarter for growth. 
Tien-Tsin Huang – J.P. Morgan: Good, good. Then just couple of housekeeping questions, just I guess the spread on the bill pay transaction growth and revenue growth, what could that look like as the year progresses, it looks like it’s a little bit wider than usual this quarter on the bill pay front? 
Alexander Holmes : It’s going to probably -- it’s going to again fluctuate a bit. Transactions are obviously going to kind of pull us up and then you know, clearly the faster growing inflection on that lower RPT business will be coming, but it’s going to trail for a while, I can’t tell you what that delta is going to be. What we’re looking for though is obviously to get transaction growth as high as possible and get revenue growth back to positive and then we can think probably more broadly about narrowing that gap afterwards. It’s really a mix problem at this point. 
Tien-Tsin Huang – J.P. Morgan: Understood Alex, that was clear. Just maybe one more on the seasonality front, with Mother’s day and then I guess the London Olympics, anything we need to consider that might be unusual with marketing expenses seasonally?
Pamela Patsley: I think you know we made the big move last year to kind of re-op total marketing spend to track at that 4.5% to 5.5 % of revenue. We’ll stand in that range but it makes for possibly, we’re trying to find a better word than lumpiness but fluctuation and our spend quarter-to-quarter , but we need to do the right thing for our business and the second quarter with those holidays with just some opportunities we see on some specific quarters that will really benefit with a push with our new global brand and tagline and with our Filipinos campaign, we’ll see probably second quarter little higher, on as a rate than you saw last year for second quarter. And then we always want to be able to adjust where things like Ramadan and other important holidays that move from quarter to quarter. So that will continue to drive that. 
Tien-Tsin Huang – J.P. Morgan: Okay, we’ll incorporate that. That makes sense, thanks so much. 
Pamela Patsley : Thanks Tien-Tsin.
Operator: We’ll go next to Mike Grondahl with Piper Jaffray.
Mike Grondahl - Piper Jaffray: Yeah, congratulations on the quarter, thanks for taking my questions. Two questions, one. 
Alexander Holmes : Mike, we can’t hear you. 
Mike Grondahl - Piper Jaffray: I’m sorry. You mentioned in the press release same-store kind of improvement at agents, and that’s the first time I have seen it in a release. Could you just kind of mention what improvement you are seeing there, and is that just maturation? And then secondly Pam, just any surprises positively or negatively so far in ’12?
Pamela Patsley : Okay. So the same-store sales improvement, we’ve talked about it, I know it’s rather in Q&A or we have had it in our prepared remarks. But, as you know this is something we focus on, we measure our team against same-store sales productivity and it is looking at those metrics and it is activation of a young network and continuing to focus on activation of all agents in our network getting more transactions, more throughputs. Some of that comes naturally just by the build out in the received markets and some targeted quarter marketing initiatives. So that’s what I am referring to. We’re seeing good trends. Again 16,000 quarters I don’t mean to imply everyone is positive but when you look at the big groups and the major groupings that we look at for same-store sales improvement, we feel really good with what we’re seeing. What was the second part of your question? Oh what am I surprised by, yeah, is that what you asked?
Mike Grondahl - Piper Jaffray: Yes Pam 
Pamela Patsley : I would say while I was very pleasantly surprised when Alex was talking just a minute ago, with Tien-Tsen about our bill pay business, and that surprise is to take nothing away from the team that has been so focused, so dedicated and done a great job to built out that biller network and continue to promote that product. But I would say we were pleasantly surprised, on the turnaround if you well and what we’re saying, so that was a great thing. I was surprised that when the tax was repealed in Italy that for the market, the consumers that just created so much confusion that it has taken a while for that come back, so I guess I was surprised that the slowness of the bounce back there a little bit, but again I think our team is doing the right things in partnership with Poste Italiane our largest agent there and then again specific quarter initiatives because there were -- and as I called out of Spain there were some real bright spots with Italy and certain received[ph] quarters.
Mike Grondahl - Piper Jaffray: Great, that’s helpful thank you. 
Operator: We’ll go next to David Scharf with JMP Securities.
David Scharf - JMP Securities: Thank you, good morning. Believe it or not still a couple or more follow-ups, Pam I was kind of wondering – I appreciate the color of going through all the various markets in countries, looking at your transaction growth obviously you are capturing share globally, but just to help us maybe hone in, kind of near-term, is there a way to tell us perhaps what the top three markets are? Do you feel you are making the most inroads in terms of market share gains? I mean, obviously with a laundry list of positive trends in many corridors, but if you had to tell us (inaudible), what three areas are we capturing the most share lately? Where would that be?
Pamela Patsley: Well certainly, one we disclosed and tracked for you is US to Mexico, so our growth rate there was clearly above industry average. I would say and I think I used these words last quarter, I said our France and Germany business grew at somewhere in the 40% to 50% so, I don’t care how strong the economy is, that’s definitely outpacing the industry. Hard to measure market because market is going to vary, but I think our Middle East, bottling Middle East to Southeast Asia is doing extremely well and I am kind of, I feel like I am repeating myself, but I am back to Russia the third largest send country to the CIS, our numbers look really good.
David Scharf - JMP Securities: No, that’s helpful. Also wondering, I know you provided some comments here earlier in the Q&A on agent renewals and in commissions trends, just curious when we look at calendar 2012, just what’s on deck for being renewed, let us say in the next 9 to 12 months, is it a typical calendar year and the number of contracts that are up and large contracts that are up, is there anything unusual, in terms of excluding Walmart obviously going out next year?
Pamela Patsley: Well, you just took away my answer, you said excluding Walmart. 
David Scharf - JMP Securities: (inaudible)
Pamela Patsley: Yes, just on that point, we have a great relationship with Walmart, it continues to expand and that would be one that I am very hopeful that we at some point look for – not too long, we can give you some good news. So, that’s one we are very focused on. I would say then it is just kind of a normal diet, it almost seems like every near there is some new big agent that renews in the US. There is always one or two, because we have so many larger agents that are renewing, so other than Walmart, I think it is kind of more normal year.
David Scharf - JMP Securities: Okay, perfect and then lastly just on one metric, I believe your large competitor, when they reported, I believe the principle for transaction declined for them, but when looking at cross border transactions, any discernable trends with what you saw, in terms of…
Pamela Patsley: No, in fact there were a few positive surprises on some specific quarters, I know we don’t give you all that, but just a kind of give you a tone and a feel. We saw no trends, we were alarmed by in fact if anything you feel positive surprises.
David Scharf - JMP Securities: Great. Thanks so much, terrific results.
Pamela Patsley: Thanks.
Operator: We will take our next question from Doug Greiner with Compass Point.
Doug Greiner – Compass Point: Alex, just to go back to the interest expense, the trend that you expect they are to be clear on the timing regarding thirteen and quarter (inaudible). Can you just expand there again?
Alexander Holmes : Yeah, absolutely. Banking up we are able to call back 175 on that during our transaction in November and that is going to free up about 16 million of interest expense this year and then in doing that and also delivering a bit we were able to get the step down on our first lean in March and that has probably annualized about a million in savings for us notwithstanding any additional delivering that we might do. Obviously, historic trend has been to continue to deliver at a pretty good rate with our excess cash and right now I think what we are doing is sitting on a little bit of that cash as we balance the timing on the thirteen and quarter percent note. Again, the first call date on those is March of 2013, it does carry a full make old premium along with 6.625 (inaudible) penalty after that. So, it is really about what interest rate we can borrow at, what kind of debt structure we want to have going forward and working through those. We think as we get forward the latter half of this year may be when we are somewhere in the kind of that 6-month doubt, we can dig and we can get pretty serious about it and given what interest rate environment is and given how the markets have looked other than the fact that we pay a lot of interest on it, we are not in a tremendous rush to get the market because right now it is just the bit of breakeven and it is a little bit tough. The closer we get to that date the easier it is going to be force to pull the trigger.
Eric Dutcher: Okay. Operator, I think we’ll take our final question.
Operator: Alright. Brett Horn your line is open.
Brett Horn - Equity Research: Great. Yeah hello. I was wondering if you could on the new channels like online and self service and cash to account, is it your impression that the customers using these services are new to MoneyGram or these existing customers who are now switching to those methods.
Pamela Patsley: You know, I would say it is a little bit of both, but generally it would new customers and that is exciting for the industry.
Brett Horn - Equity Research: Okay. Great. So, you feel like that is kind of expanding the (inaudible) market for you.
Pamela Patsley: Yeah, particularly with online, you might see on a cash to bank account that may have a lesser percentage of new customers, but clearly all these things are bringing new customers to us.
Brett Horn - Equity Research: Okay. Great. Thank you.
Pamela Patsley: Thank you.
Alexander Holmes : Thank you Brett.
Pamela Patsley: I think that is it and as always we appreciate your interest. Thank you so much.